Daniel Fairclough: Thank you very much. Good afternoon and good morning, everybody. This is Daniel Fairclough from the ArcelorMittal Investor Relations team. Firstly, thank you for joining this call today to discuss the results for the Second Quarter and First Half of 2020. We publish those results this morning, alongside a Q&A document and a detailed presentation with speaker notes. So in order to be as efficient as possible, the intention of this call today is not to go back to that presentation again, but to move directly to your questions. As a result, we should be able to complete this call in about 45 minutes. [Operator Instructions] And it's worthwhile, the last few quarters, just taking one question at a time from each analyst and you can always rejoin the queue later if you have a further question. So, please, if you could just limit yourself to one question at a time that would be appreciated. So with that brief opening, I’ll hand over to our Chairman and CEO, Mr. Mittal.
Lakshmi Mittal: Thank you, Daniel. Good day and welcome, everyone. I'm joined on today's call by Aditya Mittal, President and Chief Financial Officer, Simon Wandke, Head of Mining, Genuíno, Head of Group Finance and Daniel. Before we answer your questions, I would like to begin as usual with a few remarks. First on safety, which is always our ArcelorMittal’s priority. We worked hard during the quarter to further secure the work environment for COVID-19. Implementing all the measures we are all now familiar with. I'm pleased that excluding ArcelorMittal Italia, the lost time injury frequency rate this quarter was the level we have recorded, lowest level we have recorded. We will be working hard to sustain and further improve this performance. Turning to our financial results. While the impact of COVID-19 is visible in the shipments of the second quarter, our performance reflects how quickly we responded to the extraordinary market conditions. As we discussed at the time of our first quarter results, we had a clear strategy to adapt our production to lower demand, and at the same time align our cost by verbalizing our fixed cost base. Our resilient cash flow performance, combined with the benefits of the capital raise we completed in May have helped to reduce net debt to $7.8 billion at 30 June. This is our lowest ever level and our target of $7 billion is within sight. This is important, as our target will trigger a shift in our capital allocation priority away from de-leveraging to cash return to shareholders. Following the easing of lockdown restrictions, we are seeking a pickup in many of the markets in which we operate. While this is encouraging, demand does remain significantly below normal levels, and the pace and profiles of the recovery remains uncertain. Our focus therefore remains on continuing to keep costs as low as possible to protect profitability and cash flow, whilst being ready to react quickly to changes in the market environment. With that brief introduction, we are now happy to take questions. Thank you.
A - Daniel Fairclough: Thank you, Mr. Mittal. [Operator Instructions] And if everybody could limit themselves to one question at a time, that would be very much appreciated. And so moving to the first person in the queue, which is Seth from Exane. Please go ahead.
Seth Rosenfeld: Good afternoon. Thank you for taking our questions today. If I may, I'd like to dig a little bit more into the outlook for the second half of earnings, please. I recognize, you haven't provided formal earnings guidance as you did last quarter, just walking through the key moving parts. First with regards to volumes, wondering if you can comment on the scale of potential recovery we could expect in Q3 and to what extent real demand recovery could be offset by seasonal weakness? And the second part of that please, when you think about the product mix, you commented earlier about greater auto sales, improvement in mixed quality, to what extent might that offset the metal spread compression you've recently witnessed in Europe and in NAFTA? Thank you very much.
Aditya Mittal: Okay. So thank you for your question, and good afternoon to you as well. We have not provided second half guidance primarily because when we did so in Q1, we felt the level of uncertainty was so high. We wanted to provide the market with a framework to think how the company would perform. As we -- as you've heard today, throughout our results I think we are pleased with our performance in the second quarter, especially in our ability to variablized our fixed cost base almost everywhere, clearly, not in all regions, but almost in all regions. Looking forward into the second half, I think clearly, the biggest driver remains volume. We see a pickup in almost all the sectors that we participate in. But clearly, the strongest pick up is an automotive because as you know, automotive went to basically zero production or shipments in the month of April. And since then, we have seen a sharp recovery. Nevertheless, when you do model a volume recovery in the second half of 2020, you do also have to take into account that we have variablized our fixed costs and Q2, and therefore we will also see some fixed costs pick up, right? The absolute nominal value of fixed costs will increase. Clearly the level of fixed costs per tonne will not increase, but will remain the same or hopefully in some markets actually slightly come down. In terms of other drivers, I think you talked about mix, so mix will be positive. Clearly to the extent that automotive shipments are greater than what we saw in the second quarter. Nevertheless, as you know, prices remain low. When we look on historical basis, spreads are very low. When I talk about spreads, I'm talking about steel margins, overall materials both in Europe as well as NAFTA. And we've seen in the past that these levels of spread do not last very long. But today we can see that these spreads are prevalent in the markets in which we operate. The other driver into the second half clearly is costs. We do have the benefit of this cost through our mining business, because we have lot of iron ore and integration is working well. But clearly to the extent that we still buy iron ore in various regions and for businesses, we will have cost inflation due to iron ore. So hopefully, I've given you a good framework on how you can think about our business in the second half of this year.
Seth Rosenfeld: Thank you. If I can just one follow-up, please. In Europe, specifically, recognizing that lead times to give you some understanding for Q3, would you expect that mix improvement to more than offset the spread compression or in reverse?
Aditya Mittal: That's very specific guidance. I think clearly, we also have a little bit of benefit in the second quarter of lack pricing, which you don't have in Q3. So I don't know if I've answered your question, but reading between the lines perhaps you can determine the trajectory.
Seth Rosenfeld: That's great. Thank you very much.
Aditya Mittal: Sure. Thank you.
Daniel Fairclough: Thanks, Seth. So we'll take the next question, please from Jason at Bank of America.
Jason Fairclough: Yeah. Good afternoon, everybody. Thanks for this call. Can we just talk on the working capital build a little bit, I guess, and probably a question for Aditya, again. I'm interested in the extent to which this was a voluntary working capital build versus involuntary. So was this just an overshoot of the delivery of raw materials in the creation of steel as demand collapse? Or is it that you've actually decided to build working capital ready for increased deliveries as the demand started to recover?
Aditya Mittal: Great, Jason, thank you for your question. Hope you're well. So the working capital build is really trade payables. So if you were to look at the balance sheet, you would see that there has been a reduction in AR, a significant reduction in inventory, and even more significant reduction in trade payables, and that is why there is a working capital build. So, actually, this was very deliberate. And I think what we ended up doing is as soon as COVID hit our main markets, we had an immediate response and quite a strong response. And as you heard, it focused first and foremost on ensuring the health and safety and well being of all of our employees, and then obviously, protecting assets. But then obviously, move to protecting the business. So apart from apart from variabilizing our fixed costs, we very aggressively cut down purchases, right. And as a result, you can see that the trade payable levels come down. We basically de-stock with inventory has come down and clearly as business was lower, with less AR. So this was – this was not involuntary. This was deliberate I must say, and therefore, we want to continue to maintain these low levels of working capital. Clearly in the second half, we will be supported by a buildup of trade payables as you begin to order. But as long as we maintain low levels of inventory and maintain working capital, we are targeting a release in the second half of this year.
Jason Fairclough: Okay. Thanks very helpful, Aditya.
Aditya Mittal: Sure. Thank you.
Daniel Fairclough: Thanks, Jason. So we'll move now to Jack O’Brien at Goldman Sachs.
Jack O’Brien:   Hi. Thanks for taking the questions. Just thinking about capacity utilization across the group, clearly you've done an excellent job of cutting costs to meet them in lower production levels. Can you just tell us where you are today with regards to capacity utilization? Just thinking about sort of spec capacity and how to think about that as demand recovers?
Lakshmi Mittal: Sure. So Jack thanks for your question. The way we think about it is – is coming back to the theme that we've talked about is very variabilization of our fixed costs. And so if you extrapolate that, you will conclude that we will also very realized our capacity. Now I recognize that capacity is a bit sticky, so you can't be precise on it. But fundamentally, that's what happened – that's what has happened. So as we cut down production, we took off capacity. And as we increase production, we will bring on capacity. I think in the call, I'm not going to predict or provide you guidance on where and which furnaces we would bring back, I'm happy to confirm what we've already publicly announced, which is we brought back a furnace in Europe. We're bringing back a furnace in Brazil. Clearly, our South African operations have been started. And I think the main takeaway, that -- the main takeaway is that we will be maintaining market share. So, that's how I would think about or guide you towards our capacity restart strategy.
Jack O’Brien: Okay. Thank you.
Lakshmi Mittal: Sure.
Daniel Fairclough: Thanks, Jack. So we'll move now to Alain of Morgan Stanley.
Alain Gabriel: Yes. Hi, gents. Good afternoon. So, my question is on the fixed cost and the furlough schemes in Europe. So, they have been critical in helping you reduce your fixed costs. To what extent have you learned to do more with less during COVID? And how much of those cost savings could you retain on a permanent basis, if we can put some numbers behind it? Thank you.
Lakshmi Mittal: Okay, great. So first of all, I do appreciate all the efforts various governments have put in place to act as a buffer as businesses reduce their fixed cost base to adjust to the new market demand environment in the second quarter. Having said that, the majority of our fixed cost savings are not because of these government schemes, but they're because of actions that we have taken as a company, such as reducing SG&A, reducing and in line with our production, a whole host of measures that we have undertaken. Going forward, my expectation is that you're right, we can do more with less. We have developed plans. Each of the units have developed plan. The corporate has developed plans on how we can turn this temporary fixed cost savings into more structural fixed cost savings. I think the appropriate time to provide you with specific numbers and specific details on what we're doing by region and what these programs are would be doing our end result. But clearly, this is the direction we’re moving in. How do we make this temporary cost savings into more permanent cost savings? Now clearly you won't get all of it, because some of this will come back as capacity, restarts and shipments restart and production restarts for not restarts, but recovers is the right word. But we’re so focused on how to do more with less.
Alain Gabriel: Thank you.
Daniel Fairclough: Okay. Thanks, Alain. So we'll move now to Alan of Jefferies.
Alan Spence: Thanks, and good afternoon, everyone. Iron ore deliveries in the quarter, there have been mentioned that there was higher deliveries to external third parties. Do you think that was just a temporary measure or is there an opportunity to continue serving those customers at higher levels and then also still satisfying your own internal needs as recovers?
Daniel Fairclough: Simon, would you like to take that?
Simon Wandke: Sure. Thanks, Alan. Yeah, look, on just to go through the map. So you've got that clear. So in response to the majority user of, say, in Quebec, if you take that one example, in Q2, when demand was down in Europe, really fell back onto our global portfolio, which is essentially internal, and then a select number of customers around the world in Europe and also into North Asia. And I mean our test is that we find people as long-term stable off-takers outside the group to also value and pay for value in use, because we're in the premium product into the range. So, if you look at Q2, something in the order of 2.5 million tonnes, went from normal group sales pivoted very quickly by our commercial teams into mainly China. And your question is quite valid is it's around margins, and it's around opportunity. At the moment, we're running full in all operations. And I don't think there's an immediate effect to have a look at increased capacity. And that's not our intent. But I think what was done is proven the strength of our portfolio system of marketing and customers. And probably product mix is the one where we would look at, we've found some interesting customers that weren't traditional during this period. And that might provide opportunity for us as we look at the incremental growth expansions over the next couple of years across a couple of assets.
Alan Spence: Thank you. And just quick clarification that went to both existing customer’s hands and new ones?
Lakshmi Mittal: Yes, that's right. So the big names you'd expect to see in the steel industry that typically we deal with and across, particularly China.
Alan Spence: Thank you very much.
Daniel Fairclough: Great, thanks. So we'll move to the next question please from Luke at JPMorgan.
Luke Nelson: Hi, Dan, thanks for the call. My question is on tax and interests within the cash and guidance, which -- H1 looks to be tracking quite a bit below the four year run. So can you just given an indication of how should we expect that to roll through the cash flow statement over the next -- over Q3 and Q4, and also to what extent are there any savings from tax or VAT, et cetera. That has been pushed into 2021?
Aditya Mittal: Sure. So yeah, you're absolutely right. The level of cash requirements in the first half was lower than we anticipated. To keep the math very simple, our roughly cash requirement is $3.5 billion for the year that's guidance. And in the first half, it was $1.5 billion, which implies $2 billion for the second half of this year, roughly $300 million to $400 million of that is deferred tax. And significant majority of that is VAT and purely as the economic recovery happens. And as we pay the VAT and no longer avail from these deferral programs, you will see that swing. So that's the main delta between the first half and second half in terms of cash requirements is really some of the cash tax deferrals.
Luke Nelson: Okay, thank you.
Aditya Mittal: Sure.
Daniel Fairclough: Thanks, Luke. So we’ll move to next question please from Carsten, Credit Suisse.
Carsten Riek: Thank you very much. My question is just on the restructuring, because you mentioned in your report that even though the activity levels are picking up, you still need, or you still see need for a restructure -- for restructuring program. Just curious what the magnitude might be, which areas are affected? And what do you think about the timing here? Thank you.
Lakshmi Mittal: Sure. I think that's a great question and something important that I'd like to clarify. At this point in time, our base case is that in the medium term, demand levels normalize, i.e. they normalized to pre-crisis levels. And why do we feel that way? I think primarily for two reasons. Number one, the duration of this crisis, assuming base case scenarios is relatively short lived. And number two, there has been significant stimulus by various governments across the world. And in some markets, or perhaps in most of these markets, we feel that the type of stimulus is very steel intensive. To give you a good example, in Europe, the recovery fund is focused on climate change. And we think to achieve that, and then change energy infrastructure and other infrastructure requires a lot of steel. And therefore, our base case is that the demand environment normalizes. The structural fixed cost savings are not about necessarily adjusting to a lower base of demand, this is fundamentally about streamlining our asset base. So can we produce the same amount of steel with less assets? We've done that in the past. So if I were to keep this as simple, for example, we’ve had a steel plant with three blast furnaces producing 5 million tonnes of steel, can we more or less achieve the same level of throughput with two blast furnaces? Similar to galvanizing lines, let's say, we have three galvanizing lines each producing 400,000 tonnes. Can we move to two galvanizing lines? Improve their product capability, their capacity throughput to 600,000 tonnes each. And so we streamline the asset base. So we have opportunities like that within the ArcelorMittal plant configuration. And that's what we mean in terms of streamlining our asset base. And clearly, through COVID and through this crisis, we have learned to be more efficient, and so clearly there are SG&A savings, doing more with less. I would say that. Yeah. And so those are the primary drivers of the structural fixed cost reduction that we're talking about.
Carsten Riek: Thank you. Just a quick follow-up on that. Given the furlough schemes and the short-term work schemes we have seen, especially in Europe, is it actually possible that you could streamline the asset base in Europe or do you focus rather on areas outside Europe? Thank you.
Lakshmi Mittal: No, the streamlining is – Europe is part of the streamlining of our asset base.
Carsten Riek: Okay, perfect. Thank you very much.
Lakshmi Mittal: Sure. 
Daniel Fairclough: Thanks, Carsten. So we'll move to the next question, please from Rochus at Kepler. 
Rochus Brauneiser : Yes. Thanks for taking the question. Let me get back to the 7 billion net debt target. I think, you are saying it's coming into reach, but you're still not providing a specific target. Just want to understand what the main obstacles are from here to get there eventually, already by the year end, because when you look at the components of your cash flow drivers, you know, the 1.5, I think, 2 billion of cash needs in the second half. Let's assume current earnings runway. So 1.5 billion of EBITDA and then you're still expecting a 1.5 billion recovery from working capital. So in theory, you should be there by the end. So what the -- makes you careful to get more specific on the timeline? What's the biggest risk factor here?
Aditya Mittal: Sure. So I think, in terms of working capital, we have provided you with the target. Right? And as you know, working capital is highly dependent on the levels of activity in Q4. So clearly the levels of activity are higher than we would forecast than the working capital release would be less and overall that that's good news. And so I'm not worried about that or concerned about that. I think fundamentally, the message you should take away today from us is that assuming the market recovery continues as we're all anticipating and base case scenario pans out or better than best case scenario pans out, then I would expect that in 2021 we would pivot away from focusing on de leveraging, but returning cash to shareholders.
Rochus Brauneiser: Okay. That makes sense. Maybe a brief follow-up on another part on the investor segment, I think when you look at your release, you said, it sounds like in the NAFTA segment, you had more difficulties to offset the fixed cost pressure to a little bit less ability to verbalize the costs there compared to Europe or Brazil. How shall I think about the third quarter, volumes are of course getting better in the NAFTA segment, is there anything I can expect that the cost burden -- fixed cost burden is disproportionately improving because of certain company specific measures? 
Aditya Mittal: Yeah. So in NAFTA, the reason why it was harder than the other regions to variabilize the fixed cost has to do with the contract structure that we have for our union employees, in which we have defined benefits, whether it's pension or healthcare. So it's difficult obviously to variabilize such costs and that's the primary reason. In terms of going forward, obviously that issue remains. Nevertheless I do expect that in the third quarter, the fix cost per ton rates in NAFTA would be stable. And we would see that across our rest of the regions as well. I don't know if I answered the question?
Rochus Brauneiser: Yeah, I guess so. Thank you very much.
Aditya Mittal: Okay.
Rochus Brauneiser: Thank you.
Daniel Fairclough: Thank you. We’ll take the next question please from Grant at Bloomberg Intelligence.
Grant Sporre: Hi, good afternoon, gentlemen. Thank you very much. And I guess it's really a slight follow-on from the last question. I was going to ask, you know, could you compare in contrast NAFTA with Europe where Europe seem to do quite a bit better than I would have expected than NAFTA a little bit worse? I am sort of building on that question, perhaps, could you just in the Europe region and -- could you just outline how -- sort of ILVA performed under these conditions and how -- were you able to sort of offset any of the legacy costs there? 
Aditya Mittal: Yeah. So -- thank you for the question. I think ILVA also perform like the rest of our European business i.e. we were able to variabilize our fixed costs compared to Q1 Italy also had various schemes. And so the performance was very similar to the rest of the European business. Is there any more detail you'd like, or does that help answer the question?
Q - Grant Sporre:
Aditya Mittal: Sure pleasure. Thank you.
Daniel Fairclough: Thanks. And so we'll take the next question please from Christian at SocGen. 
Christian Georges: Thank you, Daniel. I’ll just stay with NAFTA again. I think we're seeing that – or the new capacity which is coming from your competitors and generally a very cost efficient capacity announced in the next say, 18 months. And in the background, you know done some, but I would say, we're going to have elections in next couple of months. So Section 52 could come under some review at some point in 2021, I guess. So what's your take on them on how we should look at May 21? We do can get to a much higher level of competition and pressure on margin is that inevitable?
Aditya Mittal: Sure. So look -- as you rightly pointed out, a lot of the capacity that is coming on stream is focused on input displacement. In terms of Section 232, I think from an American perspective, it's been successful because it has spurred a lot of investment in the U.S. steel industry. So to backtrack, so quickly post this capacity, I think would be difficult for either candidate in the White House. In terms of our business, clearly, we, we believe we're very cost competitive, we have strong attributes, starting with product capability, technology capability, and overall our cost position. And so, it's a competitive environment, we will compete effectively as well. And our focus remains to retain market share.
Christian Georges: But so this would make sense that we should see some pressure on margins even if you're performing well in the environment, the market gets tougher?
Aditya Mittal: There could be pressure on margins. That's a fair comment. But at the same time, as we mentioned earlier, we're very focused on making structural fixed cost savings. So clearly, we will be reducing the cost base of our business as well. And so that should offset some of those pressures.
Christian Georges: Great. Thank you.
Aditya Mittal: Sure.
Daniel Fairclough: So we'll take the next question, please Bastian at Deutsche Bank.
Bastian Synagowitz: Hey good afternoon gentlemen, I've got one quick question on your European performance. So well, I really felt the cost performance was very, very impressive. Are you -- are there any absolute numbers you could give us on how much you got out of these government schemes and how much you've been cutting with your own measures. My impression is that the overall number could have been close to a billion this quarter. And then related to that, we take a higher level view and the European business as a whole, one could obviously play devil's advocate and say, last 25% to 27% in your volumes, and yet you're only had a marginal impact on your bottom line. And hence mechanisms work so well. And you will see too many cycles in your business from time to time just by the nature of how the steel business works. Why would you not make use of these tools more often, and basically take our capacity more aggressively to raise the talents of the market when these mini cycles occur? Basically, to balance out margins and prices better over the cycle? What would be the answer to their question?
Operator: Aditya, we can't hear you. Actually, can you just unmute?
Aditya Mittal: Sorry. Thanks for your question Bastian. In terms of let me address the first part of your question, which is cost performance. So, in terms of what we achieved in Europe, the majority of it was not government schemes. It was actually actions that we took RNM cost, SG&A cost, salary reductions or reduction in overtime items of that nature. And you're right, we were able to variable as a fixed cost base in Q2, so that was in performance and really appreciate the effort, all of our teams globally, and also obviously, the European team. In terms of going forward, the idea is to make some of these temporary fixed costs savings into structural cost savings. So clearly, we want to make the benefit permanent. Going forward in terms of mini cycles, look, it really depends on type of cycle, but fundamentally, you're right, we could variablize our fixed costs. Our focus in any such cycle would be to maintain market share. So to take a greater than market proportion of capacity down, that would not make business sense to ArcelorMittal but to take down capacity relative to market, demand drop is appropriate. Normally in these cycles you don't see this level of demand drop, right happening from one month to another. So it makes it more problematic and you’ve seen on a gradual basis. But yes, the point is valid.
Bastian Synagowitz: Okay, thank you. Then maybe just following up to the first part of my question. So in terms of absolute numbers, 1 billion, like a good assumption for the amount of fixed costs has been able to take out of the European business?
Lakshmi Mittal: Yeah, I think you can make your own models on how much capacity we have. We have a sense of how much is a fixed cost per tonne? I don't want to be publicly confirming a number.
Bastian Synagowitz: Okay, fair enough. Thank you.
Lakshmi Mittal: Thank you.
Daniel Fairclough: Thanks, Carsten. So we'll take the next question please from Myles at UBS.
Myles Allsop: Great. Thanks. Actually could you just talk about the rationale for the equity issuance in the second quarter almost within 12 months it looks like you’ll be stepping up cash returns to shareholders, is it – the world is just not as bad as you expected when you decided to raise $2 billion or did you not have the confidence in the – obviously, the disposals of working capital employment would have got us there anyway? Or should we have a lower net debt, the target given, the aggressiveness of the cycle? Thank you.
Lakshmi Mittal: Look, the capital raise was actually the right decision. I think what it does is it allows the company to focus on the medium term. And we're not in 2020 during COVID focused on the short term and taking actions which maximize cash over value. Based on what we – how we have performed, I think it's fair to say that the business has done well both on working capital on variablizing fixed costs and we see recovery momentum across all the regions in which we operate. But it does, in some degree, alleviate the pressure to do actions which may not create medium to long term value. And therefore, in the totality, we do believe it was the right decision to take it puts us in the right place. It also improves our dialogue with various stakeholders whether its customers or employees recognize that this is a company that is going to continue to thrive. And therefore we can do joint work on developing new steel technologies, new products focused on the Green Deal, et cetera, et cetera. So I hope that gives you a flavor of how we're thinking about it. If you want me to dig deeper in any area, feel free to ask.
Myles Allsop: Yes, as you’re looking back now, right. You’re looking forward now this is what we're thinking in May. It's just the – it’s not as bad as you anticipated. And do you think like $7 billion is the right number before stepping on cash returns or in case we have another exception if only matters?
Lakshmi Mittal: Yeah, I would not. So number one, I don't believe our focus is to continue to delever below $7 billion. So I will not get too focused on that theme. I think where it's appropriate to get focused on is that in 2021, assuming the market continues to recover as we have talked about. I would not expect that 2021 is about deleveraging. But as expected to focus in 2021 is about returning cash to shareholders.
Myles Allsop: Okay. Thank you.
Aditya Mittal: Sure.
Daniel Fairclough: Thanks a lot. So we'll move to the next question please from Phil at KeyBanc.
Phil Gibbs: Hi. Thanks very much. Hi Aditya, can you maybe give us some update on, just the European market in general. And whether or not you see, lead times getting better or just getting better. I know there was a couple of price increase announcement in the last couple weeks to a month. And we see some move in the indexes, but it's slow. So just curious, in terms of, what you see out there and whether or not you think the new or adjusted quota system shortly.
Aditya Mittal: Sure. So I mean, let me just start with quota. Look, the quota was the safeguard measures that the European Union modified. It was good, but it was not enough, right. Because we have seen that, demand has come down. And yet they did not adjust the overall quota. Nevertheless, let's focus on what's happening in the market. In terms of the marketplace, we see all the trends you talked about, we do see our overbook lengthening, we see very little inventory in the system. And we see some price tension, in the marketplace. Clearly, as I mentioned, at the level of spreads, that we see today, our history has shown us that those spreads are not really, they don't last very long. I think clearly the only other, so those are all positive indicators. I think clearly the only thing that we all need to think about is the fact that, some infections are arising, in Europe. We have not seen the impact of that, in our order book. And I guess the focus really is that, we hope that all of us are able to settle into a way of being able to co-exist with a virus in a more stable manner. And what we have seen in the last few months. So, I would say that the only caution, but otherwise, all the indicators that you talked about mentioning of order books, lack of inventory in our customer base, price tension is all true.
Phil Gibbs: Thank you.
Aditya Mittal: Sure.
Daniel Fairclough: Thanks a lot. So we'll move to the follow-up question ask me now so we will go back to Luke at JPMorgan.
Luke Nelson: Hi. Thanks a lot for the follow-up call. My question is just on the asset sale, and I mean in the past there has been in iron ore assets in Brazil and Canada that was sort of indicated that that could be considered as part of that, that process. It's in the context of Simon's commentary a little bit earlier. It sounds like, there's more optionality around products and projects. Is he getting more positive on, where what that division could be within the portfolio? Is it still something that you're very keen to earned majority share or 100% share, sort of how you're thinking about the mining division within the wider portfolio? And I suppose in the context of the asset sales, the asset sale prices?
Aditya Mittal: Sure. So, to begin with, clearly, mining has shown the benefits of vertical integration. So, we are highlighting it in our earnings release, in our presentation. But as a management team, this is not anything new. We've always believed in the value of the vertical integration of our mining assets. In terms of your specific question on asset portfolio, and all of that, I think I will go back to what we did in the past, right. So, in the past, we own 100% of ArcelorMittal mines, Canada. It was a 16 million tonne mining operation and we had a CapEx, I'm approximating just to keep the math simple, $1.5 billion, and to increase the capacity from 16 to 24 months. As we had to incur that CapEx, we ended up selling 15% of the business for approximately, let's call it a $1 billion, for discussion purposes. So, net-net, our overall iron exposure actually grew, yet, we reduce the capital outlay for that increase in tonnage made the business more competitive because your fixed costs come down. When you have more throughput, it's just a much more efficient operation. So, I would forecast such transactions where we do some partnerships to strengthen the business, but not reduce the direct exposure of ArcelorMittal to the mining business. So, I hope that helps answer the question and provides you with some sort of framework.
Luke Nelson: Yes, thank you.
Aditya Mittal: Sure.
Daniel Fairclough : Okay. Thanks. I returned to Alain Gabriel at Morgan Stanley for a follow-up.
Alain Gabriel: Yes, sir. Thank you, gents. I have a follow-up on grant question on a device. You have not disclosed EBITDA on rights at this asset for Q2. Has it been better or worse than it has been last year, which I think I remember correctly, you've mentioned $175 million EBITDA run rate and what is your thinking around this asset? You do not seem to pay any more rent anymore there. So, how should we should we think about rent going forward? Thanks.
Aditya Mittal: So, in terms of as I mentioned earlier, it has been better than that run rate because fixed costs have come down. Similar to what we have done across European business. Nevertheless, there is a loss of metal margin, so we have to offset that. But still the business is doing better than previous run rates. In terms of the rent, you're right, at this point in time, because we're operating under COVID. We, we believe it is not appropriate to pay the rent there is a residual portion of the rent which is still due and those rental payments have been deferred. As they big as finalized in discussions with the commissioners, we will update you.
Alain Gabriel: Thank you.
Daniel Fairclough : Okay, Great. Thanks, Alain. So, we'll move back to Carsten at Credit Suisse.
Carsten Riek: Thank you. My questions have been answered. Thank you.
Daniel Fairclough : Okay. Thanks Carsten. So, we'll give Jack at Goldman Sachs another opportunity, if you'd like another follow-up Jack?
Jack O’Brien: Just briefly following on from the question on the asset optimization program. I guess given the challenging backdrop right now, what gives you the confidence in achieving this by mid-2021?
Lakshmi Mittal: Sure. There is a challenging backdrop, that is very clear, but the assets that we have been talking about are not necessarily directly steel related and therefore, we still have interest, we still have buyers. When we look at the offers, they do still create value for our shareholders. And so the discussions continue, and we have still another 12 months. And so let's see where we end up. But at this point in time, we remain focused on creating this value.
Jack O’Brien: Okay. Understood. Thank you.
Daniel Fairclough: Thanks, Jack. So we'll move back to Rochus, Kepler.
Rochus Brauneiser: Yes. Thanks. Can we talk a bit about Brazil here, and I guess in the outlook statement, you primarily flag that you see the volume trend in NAFTA and Europe to be sequentially betting Q3 and further in Q4? How should we think about Brazil? Because you know, COVID is obviously kind of three months behind Europe. And what do you see in terms of production disruptions among your customers? And what is your thinking in terms of volume trends in Brazil for the second half?
Lakshmi Mittal: Genuíno, would you like to take this one?
Genuíno Christino : Yes. I can take this one Rochus. So yes, that's a good question. So in terms of trends, so what we have seen in Brazil right now, it's very similar to the rest of the regions. So we expect that domestic we are going to be increasing shipments and resuming Q3 sequentially. So we are running pool in our loss division. We are bringing back one furnace in Tiburon, we announced that. So we are actually, I would say, positively surprised with the evolution of the demand domestically in Brazil.
Rochus Brauneiser: Okay. Thank you very much.
Daniel Fairclough : Great, thank you. And we have one final question a follow-up from Myles of UBS.
Myles Allsop: Great. Thank you. So thinking about your net zero sort of carbon target by 2015, 30% reduction by 2030, to what extensive is that through smart carbon versus the DRI route, is it very backend loaded? How will this impact met coal? Is this going to be kind of a big factor over the next five years? Or is it more in the sort of five-year to 10-year kind of framework? And also just how much CapEx is required to achieve that?
Aditya Mittal: Okay. Great. Thank you. So, the answer is very long and very detail some time synthesize it as much as I can. We have published a carbon plan, which is available on our website, and I think the key slides we have attached to this investor presentation, the key highlights, I urge everyone to go through it. So let me just start with the first route, right. So we have identified three routes, and they basically -- the first one as the fastest timeline and so on. So the first thing that we can do is we can utilize more scrap so clearly by utilizing more scrap, we can produce more steel for the blast furnace route as well and reduce the carbon footprint on a per tonne basis. The second thing is to deploy what we call smart carbon technologies. So these are things like IGAR and Steelanol, carbon capture and storage. And we have a number of projects. We have about six projects that we have applied for funding. And clearly, this is using the existing infrastructure that we have in place and reviewing on how we can, for example, Steelanol is captured the CO2 converted into bioethanol. We understand what carbon capture and storage is. IGAR is using different types of fuel sources within the furnace, whether it's wood chips or things like that. And that's smart carbon and that then starts once you have in some sense increased usage of scrap. And the third is innovative DRI, which is basically utilizing hydrogen to materialize iron ore. The DRI technology exists, we actually have a pilot in Hamburg, where we are experimenting the use of hydrogen in an existing DRI facility. As you are aware, the cost of hydrogen is very significant. So I'd almost say that the next technology route, which clearly is very interesting, because there's a lot of discussion on how the cost of hydrogen can come down significantly in the future. So those are how we are navigating our business in Europe. By 2030, we expect our carbon footprint to be down by 30%. And by 2050, to be down by -- to be net zero.  Now, in terms of the funding costs, clearly, they're outlined in the report. Cost of smart carbon and the cost of innovative DRI, it's multiyear, right? It's over a 30-year period, so I take those numbers divided by 30. But then I think of three other things. Number one would be border adjustment, which would then allow us to have a level playing field and pass on the cost of emission, so that the return on these investments. Number two, I think clearly, there's the ability for us to access grants and state support and the funding of this CapEx. And the third is other ideas such as contracts for difference and this was used in the utility sector. So for example, if we're using lot of Hydrogen, there's an additional cost and a period of time that additional cost is borne by the state. So, I think that's just the key headlines to map out for you. That look, the three paths, which get us to our goals. Funding has to be shared between customers, key stakeholders, government and us. And clearly, there has to be return to justify it because otherwise, why would you be producing steel in Europe, then you just import the steel and then you've never saw the carbon issue to begin with. 
Myles Allsop: Okay. Thank you. So one more things is quite back and loaded to get into synthetic stem reductions are kind of more in the 25 to 30 time frame. 
Aditya Mittal: Yeah, I think you make some progress with using more scrap and the rest is on the smart carbon side.
Myles Allsop: Okay. Thank you. 
Aditya Mittal: Sure.
A – Daniel Fairclough: We do have one more question, which I think we have time for and so we will take that from Bastian, Deutsche Bank.
Q – Bastian Synagowitz: Thank you, Daniel for squeezing me in. I have just one quick follow up on exposure and complete in NAFTA. One of your pieces hopefully adding a significant amount of capacity and they're pretty clear about the aim to actually take market share away from domestic players rather than import some and we have not heard you talking about your split business for some time. Is that the business which you would still see as core and are you also potentially looking at options to upgrade your mill? Just curious to hear how you look at the situation because all that is equally likely adding 10 to 15% of capacity will change the economics of the business particularly the demand and energy as an important end market to have potentially been impact more structurally? Thank you.
Aditya Mittal: So our plate business is clearly important to us in our U.S. footprint. We have a very good plate franchise where we produce a lot of high grade plate for different applications, whether it's military or energy or otherwise. And we will continue to invest and upgrade the asset to be competitive in the marketplace.
Bastian Synagowitz: Okay. Thank you.
Daniel Fairclough: Thanks, Bastian. So that was our last question, Mr. Mittal. So I'll hand back to you and Aditya.
Lakshmi Mittal: Thank you. Thank you, everyone for your continued interest in ArcelorMittal. I wish you and your families all the very best and I hope that you can enjoy the summer. Keep well, stay safe and we will speak soon, I'm sure.